Unidentified Company Representative : Good morning, everyone, and very welcome to Fortnox Q4 2024 Report Presentation. My name is Niro Dander, and I'm Head of Investor Relations here at Fortnox. And today, in the studio here in Becker, I have our acting CEO, Roger Hartelius. Today, we will hear Roger presenting the Q4 numbers, followed by some business highlights, and then we have time for questions. [Operator Instructions] We will have around 20 minutes for a Q&A session, and we will try to answer as many questions as possible. But with that, I hand over to you, Roger.
Roger Hartelius: Hi, and welcome, and thank you, Mia. So, let's look at some numbers for Q4. It was been a good quarter. We had an organic growth by 25% and a strong margin. We saw a customer growth of 13,000 customers, little bit below last year and slightly affected by the divestment of Offer- ta but also some slow growth among accounting firms' customers. Another important metric for us is the usage in which we measure the average revenue per customer, which increased by SEK 5 in the period. And the revenue growth was 20%, but the organic growth was 25% and that's excluding then the impact of the divestment of Offer- ta. We had an EBIT margin of 47% and here we had some nonrecurring other operating revenue by SEK 25 million. And we had two one offs. One was the divestment of Offer- ta but also reevaluating the earn out connected to the acquisition we made earlier this year of Boardeaser and VisualBy. And excluding those, the EBIT margin would have been 42%. And when we then combine our growth and margin, we land at 67% in our rule of Fortnox. So, in 2020, we put up some kind of aggressive target. We said that we will double the number of customer and also double the average revenue per customer. And so forth, we have had a great development towards these targets and we see already now we are about to close the average revenue per customer, learning at SEK 298 per month, but we are a little bit behind on the number of customers. But for us, it's the combination of those 2, the number of customers and the usage that has been crucial for our growth. And also, as a result of what we announced in November, the new organization, we will focus even more on usage, which will drive the average revenue per customer. But still, it's the 2 metrics in combination that we believe drive growth. And so, we stick to those according to the business plan that we established in 2020, taking us the full year of 2025. So, with the net sales of NOK 540 million and an EBIT of NOK 254 million, we believe that we've proven a continued growth and scalability despite challenging marketing conditions. And on Rule of Fortnox, well, we balance the growth and the margin, we land at 67% in the quarter, but also for the full year. And I'm really pleased to say that we now in 15 quarters in a row have been above 60% in Rule of Fortnox. On net sales, as I said, we had a growth with 20%, but 25% organic growth. The divestment of Offer-ta impacted the subscription-based revenue. And excluding those, the organic growth in subscription base would have been 21%. The highest increase we see in lending-based revenue where the growth was 41%. And there is mostly driven by the product where we offer customers payment directly upon invoicing, where we have the growth above 50%. On this page, you also can see how we will report net sales in the new structure, where we have business platform is responsible for our core SaaS offering, where we have subscription-based revenue connected to the users, but also transaction-based revenue, for example, pay slips or capturing supplier invoicing, which are largely recurring as well. And then we have financial services, which are responsible then for our financial offer, but also payments. And here, we have transaction-based revenue from the invoice services where we help our customers to send invoice and send reminders, but also collect money. And here, we also have all the lending-based revenues where we had this, as I talked about before, when we help customers get paid directly upon invoicing, also corporate loans and the upcoming pay later products. And in the quarter, as for the full year, the growth drivers have been existing customer followed by new customers and of course, some impact of the price adjustments. And the price adjustment that we made earlier in last year accounted for just above 5 percentage points of the total net sales growth for the full year. And looking at the income statement, we highlighted the other operating income where we had a positive effect of SEK 25 million, and these were the lower estimated earn-out as well as the divestment of Offerta. And looking at the balance sheet, we have highlighted that we now are owner of a new jointly owned company, which holds Offerta, and we own 49%. And we also see on the asset side that we have an option to buy additional 3% of that company. On the liability side, we have a decrease of the lower expected future earn-outs. And on the cash flow, we highlighted that we have a growth in our lending business, which, of course, impacts the cash flow. But looking then at the free cash flow adjusted for lending and acquisition, we see that it remains stable. So, to summarize the year, we think it's important to maintaining the balance between usage and the number of customers. And for the full year, we added another 62,000 customers, and we increased usage and the average revenue per customer increased by SEK 30. We passed SEK 2 billion in net sales, and we had a rule of Fortnox of 67% when we add growth of 25% and an EBIT margin of 43%. So, then some business highlights. These 2 numbers reflect the shift that we are about to broaden our offering from more compliance-driven workflows and to more business-driven insights. So, we are already supporting a significant portion of the Swedish businesses. And the first number is the value of all received supplier invoices in Fortnox during 2024. And with all the vital data and key metrics that we handle for our customers, we want to bring back more or provide more value to the companies. And one step towards that is that we now have more than 50,000 companies benefiting from our product insights each month since we launched that to all customers in October last year. And with the organizational changes we announced in Q4, we believe that we can further strengthen our ability to drive growth and scalability. And the new organization came into effect 1st of January, enable us to focus even more on core business flows with all the transaction in those flows. And we believe that we can create a better user experience and strengthen Fortnox as a whole and as one. But also, it's important for us to integrate payments and financial products as a part of those core flows. And looking at this picture, we can see that payments are an essential part of all the workflows. And therefore, we think it's important to further implement them into the ecosystem. And we see a strong benefit for our customers and their end users with simplified payments. They get better control over the payments, better user experience, but also a higher security. And the more we get the users to use Fortnox, the more insight we collect and the more insights we can give back to our customers and the decision-makers around the companies. And of course, for Fortnox, this enables new revenue streams and continued growth possibilities. So, to summarize, we passed SEK 2 billion in net sales and prove the scalable business model that we have. We are increasing the focus on usage and on core business flows. And we think that we can deliver even more value to the Swedish businesses. Thank you.
Operator: [Operator Instructions]
Unidentified Company Representative : Thank you, Roger, for the presentation. Actually, we already got a few questions. The first one is about the price adjustments we made last month and the impact. And yes, the new prices, they start for new customers from 30th of January and for current customers, the new prices will start earliest 1st of March, and the increase is expected to have similar positive impacts as previous increases. Also, if you got any feedback, of course, increases prices is part of business as usual, but we are constantly increasing the value of our products. We feel that we actually have more actually to deliver to them. Next question is the packages that you offered to new customers or all customers last year, have you seen any impact on increasing the packages? And we did expand from three to eight primarily as a marketing tool to offer to the customers to tailor the solutions to give them better value. And when you give them better value, they use it more. And that, of course, increases the ARPC and the average revenue per customer. But we should be remembered that this offering is only to the customers that come through the web, and that's around 25% of the new customers. And then we have one more question. Do you see an increased demand for your business cards? Yes, we do. But adoption of new payment cards takes time as customers get familiar with the benefits and integrate it to their daily routines. So, while progress is steady, we do focus on increasing awareness and usage to ensure a smooth and successful rollout. I think we actually have some questions from the phone. Simon Granath, ABG.
Simon Granath: Good morning, Roger and good morning, Mia and thank you for the presentation. And I have a couple of questions. Initially, could you expand on the new organizational structure and how that changes the way you operate to better drive ARPC perhaps with a concrete example?
Roger Hartelius: Yes. So, the whole organization is more focusing on one offer. So, as a user, you should experience Fortnox as one system or one platform. So, we believe that now in the organization we have, we will follow the user workflows more than isolated function or isolated products. So, we believe that in -- yes, for the users, it will be a better experience and also to integrate payment and financial offering more into the core workflows for the companies.
Simon Granath: And a follow-up on that is whether you see the 8% price hike impact as reported in Q4 as a relatively representative level to maintain over the coming years, partly in light of the just announced price hike?
Roger Hartelius: We are trying to match price with the value we deliver all the time. So, we are -- yes, trying to connect price to the value. And this price change we did now was in line with what we have done a couple of years before. So, yes.
Simon Granath: And final question for me. The number of customers grew by 13,000 quarter-over-quarter. And then although you have previously reported that Offerta impacted this number by around 1,000 clients, it corresponds to a slowdown versus previous quarters. So, my question is rather, is it fair to assume that you are seeing signs of a maturing market? And for clarity, I don't necessarily see this as an issue as it means a greater focus on ARPC, but still, what are you seeing here?
Roger Hartelius: You are right. We had the impact on Offerta. But no, we have seen before as well that there is small valuation between the different quarters. So no, we don't see this as a trend.
Unidentified Company Representative : You are right. We had the impact on Offerta. But no, we have seen before as well that there is small valuation between the different quarters. So no, we don't see this as a trend.
Roger Hartelius: So Boardeaser and VisualBy, SEK 14 million and Offerta SEK 11 million.
Unidentified Company Representative : Thank you. We take another one from the web. How do you plan to capture the value of the amount of transaction flow and who are you displacing by handling payments directly on the platform? So basically, yes, how are we going to get value from the transactions as you previously talked about.
Roger Hartelius: Yes. So, one thing is that if we gather all the transaction, there is a lot of data connected to those actions that we can provide insights from that we can give back to the customer, give value what to do next, should I do this. So, with all that data, we can have that in real time and really bring back great value to the company so they can perform better.
Unidentified Company Representative : Yes. So, they can make the right decisions and they perform better, yes. Good. We're going to take another one from the phone, Charles Brennan from Jefferies.
Charles Brennan: Good morning. Thank you for taking my questions. I'm going to do three questions, if that's okay. Question number one is just around your focus on core business flows. Can you actually say whether there are noncore business flows that you're doing today? And are you going to be deemphasizing those this year? And how should we think about that as we're doing our modeling for the year?
Roger Hartelius: No, I wouldn't say that we have any material that we won't do. But we want to explicitly say that this is the core flows that we are focusing on. So, we had the supplier invoice flow, the customer with the invoice or get paid flow. We also have the expense management and around employers. And then, of course, we have the accounting. But what we also are saying is that payments and financing is included in those flows. So that's also an important thing with the workflows.
Charles Brennan: Okay. And then can I just ask a question about the ARR momentum. It feels like growth has accelerated quite nicely in the fourth quarter, but the sequential improvement versus Q3 looks bigger than it normally is for Q4. Are there any one-offs to call out in that ARR development?
Roger Hartelius: No, not particularly. What we see is the packages that Mia talked about before, we see a higher average revenue per customer from those new customers that enter into new packages, and that, of course, affects the ARR. And yes, times 12 since we count in those 12 years forward. So that's the single one that affects the ARR mostly.
Unidentified Company Representative : And just to also highlight is the latest price increase is not included there as well.
Charles Brennan: And then just lastly, can I ask about the Offerta transaction? Am I right in thinking that Offerta would have generated around EUR 6 million of profit in the fourth quarter of the year? Like if we annualize that, we're at EUR 24 million of profit. Have you just sold that or 50% of that for EUR 14 million? Is that what's happened in the period?
Roger Hartelius: No, not at all. I couldn't comment what they would have had a profit in Q4. But the EUR 14 million is the dividend connected to the transaction. So that's cash flow.
Charles Brennan: Okay. So, the difference between your operating profit of SEK 254 million and the adjusted for acquisitions number of SEK 260 million, that EUR 6 million difference is not Offer- ta?
Roger Hartelius: In those numbers, you also include Boardeaser and VisualBy.
Unidentified Company Representative : The revaluated earnouts. Next on the phone, we have Georg Attling from Pareto.
Georg Attling: Good morning and thanks for taking my questions. I have a couple. Starting with the costs. I note that the other external expenses are up 26% over Q3, even with Offerta out of the numbers. Could you just give some more color on this increase and what you expect in '25?
Roger Hartelius: Comparison with quarter-to-quarter could be hard since in Q3, we also have the vacation period. And in other external, we have both marketing and yes, consultant, for example, that could deviate between the quarters. But I don't think it's on an annual basis, we are on almost the same level connected or compared to the net sales. So, I don't think you should think anything else for the future.
Georg Attling: Yes, Q4 is always high on that cost line, but it was probably higher than both last year and same levels as '22 sequentially in Q4 even without Offerta. But then I read that as this is not a structural increase in the investment pace, right? But rather Q-on-Q fluctuations. Okay. And then second question would be on the transaction revenues slowing down a little bit here in terms of growth. Do you see any negative impact from the holidays here in Sweden that we had in December?
Roger Hartelius: We saw that this Christmas period was slower than last year. So yes, the holidays were more on working days. So, it was quieter in Sweden this Christmas than last year.
Georg Attling: Okay. So, if we just take October and November then as a proxy, that would have been higher growth than we saw for the full quarter transaction growth?
Roger Hartelius: That's the way to put it, yes.
Georg Attling: Okay. And on the price hikes, you've done a couple. And last year, you talked about more price increases on transaction and so on and a little bit lower on subscription. Now you did that price hike in Q1 price mix this year?
Roger Hartelius: Kind of similar. So, it's also on transaction-based this year. And since we have more subscription-based, of course, the effect is bigger there, but the price increase is more linked to transaction-based this year.
Georg Attling: Okay. More linked to transaction-based again, so similar to dynamic last year.
Roger Hartelius: Yes.
Georg Attling: Okay. And just a final question on the lending side, that's obviously binding some working capital. Do you have a level for this part of the business where you will look for a partner to take that off balance sheet?
Roger Hartelius: Yes. We have that in our internal policy. But for now, we think that we are not close to that. So, we are trying out and we think that we handle it best in our own balance as for now. And yes, until now. So, we are not close to that limit yet.
Unidentified Company Representative : I think we have a few questions from the web as well. The payment transaction flow, will we do it in-house or with a partner that you talked about?
Roger Hartelius: We are already having a partner. So, we offer our customers to give their customer a possibility to pay. So, we have a checkout there and also customers can pay later, and we do that with a partner. But part of it, we do ourselves, and we also handle and have the right to handle payments by ourselves. So, it's a mix.
Unidentified Company Representative : Thank you. Question about the customers that are using insights. How are you monitoring it today? I mean it's quite a good start, I feel, launching it in October 50,000.
Roger Hartelius: Yes. So, it's not a product that you can buy or subscribe to. We have connected it to the bookkeeping license. So, you need to have a license at least. So that's the only as a company. So, we are monetizing and creating more value to being a Fortnox customer.
Unidentified Company Representative : And that's our focus. Another question is about the Swedish economy has been changing for a while. Are you seeing any better economic activity or positively impacting this year? Do we see anything?
Roger Hartelius: No clear signs yet, no.
Unidentified Company Representative : I think we have time for a question from the phone. Joachim Gunell from DNB.
Joachim Gunell: Good morning. Hope you hear me? Perfect. So, we all know that macro in Sweden has been weak for two years now. So, can you just provide some commentary with regards to how this has actually impacted your invoicing activity? I mean, if you can say something with regards to, say, how much lower do you, call it, invoices sent per customer is over the past few years? Because I would assume that this is a quite high-margin product and with high operating leverage. So how we should think about that as macro conditions eventually improve?
Roger Hartelius: Yes, I would like to give you a clearer answer. Of course, we see it depending on, of course, when you have a subscription, which part of our highest subscription revenue is invoicing as for one. That doesn't affect that much how many invoices you send, but we can absolutely see that there are lower transactions, including then invoices as become also supply invoices. So there, we can see it. And at the same time, we have an organic growth by 25%. So, it's hard to say what it would have been in another environment, but we see there are less transaction. And if we are looking on cohorts or different customer groups, we see that it's lower activity among those customers, and that equals fewer invoices. So, we are impacted. It's hard to say the exact numbers.
Joachim Gunell: All right. And when it comes to the reorganization and the new structure, to what extent would you say that, that has been a drag on your selling activities here in the quarters? I mean, has this impacted the growth? I mean we saw an acceleration, yes, but any color there would be helpful.
Roger Hartelius: Also hard to say, probably some effect when you do a reorganization. But at the same time, we have digital sales channels. We have our accounting firms that are helping us bring in customers. So yes, I think we keep on working, but it's hard to say, some impact probably.
Joachim Gunell: Okay. And into 2025, is it fair to assume that pricing similar to this year will be more back-end heavy, the tailwinds from the, call it, recent adjustments that you communicated?
Roger Hartelius: No, I would say you should look at it similar as the previous years. So, no big differences.
Joachim Gunell: Okay. But more tailwind towards the latter part of the year.
Roger Hartelius: No, I think it's equal to last year.
Joachim Gunell: All right. And finally, just, I mean, what are you most enthusiastic about with the whole -- I mean, new structure set? You're clear here that you will focus more on spending more time with -- I mean, and monetizing how your customers use the platform, et cetera. So, on the, call it, new products here going live into 2025, what are you most enthusiastic about whether it's, call it, the card or if it's the more payment ecosystem evolving?
Roger Hartelius: Yes, payment, really interesting, but also the insights. But I would say the full -- when we can really bring back value to our customers to help them to make decision and more decision-makers around the company. I would say that's what triggers me.
Unidentified Company Representative : I think we have one last call here Bharath from Cantor.
Bharath Nagaraj: Good morning. Thank you for taking my questions. Out of the 13,000 new subscribers added, how many would you say are like sole creator businesses? And how many are, let's say, 1 to 4 employee businesses? I'll go one by one, please. Thank you.
Roger Hartelius: I don't have the numbers, but it's a similar pattern as we have had before. We don't see any changes in the type of customers that we grow with. So yes, same as before and no big difference in the, how do you say, branches either. So, it's similar to what it has been before.
Bharath Nagaraj: Sure. And in terms of like the increase in usage that I know you want to focus on, makes sense, of course. But just wondering, given a lot of your customer base is like the sole trader businesses like 60% approximately for the CMD and a further 30% is the one to four employees. What kind of ARPC contribution do you expect from the sole traders and one to four employee businesses?
Roger Hartelius: We think it could be a lot. Today, we can have one of those sole traders as an example, the only user could be the accountant. And we bring really much value to the accountant, but we have much more value to bring to the sole trader himself or herself. So, there are more decision-makers around the company that haven't found value from Fortnox yet.
Bharath Nagaraj: Is there a number you can provide on like, let's say, the ARPC contribution from these sole creators like in a futuristic scenario that you can expect?
Roger Hartelius: I wouldn't give you any no. No, sorry.
Unidentified Company Representative : Just to clarify as well, if a client wants to postpone a supply invoice payment, does a partner handle that or is it Fortnox if you postpone a supplier invoice? If a client wants to do that, who handles that?
Roger Hartelius: Then we handle that if it's a business to business. But if it's a business to consumer, then we have a partner.
Unidentified Company Representative : Okay. Good. Thanks for clarifying. That was all we had time for today. Of course, if you have more questions, feel free to reach out to the IR department. We are very happy to answer all your questions. Thank you, Roger, and thank you to everyone who listened in and watched us today. We will be back here in the studio for the Q1 report on the 24th of April. Thank you very much, and have a very, very good day.